Operator: Good day, ladies and gentlemen and welcome to the Q1 2016 Verint Systems Inc. Earnings Conference Call. My name is Devonne and I will be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to your host for today, Mr. Alan Roden, Senior Vice President of Corporate Development. Please proceed.
Alan Roden: Thank you, operator and good afternoon and thank you for joining our conference call today. I’m here with Dan Bodner, Verint’s CEO and President; and Doug Robinson, Verint’s Chief Financial Officer. By now, you should have seen a copy of our press release that includes selected financial information for our first quarter ended April 30, 2015. Our 10-Q will be filed shortly. Each of our SEC filings and earnings press releases is available under the Investor Relations link on our Web site and also on the SEC Web site. Before starting the call, I’d like to draw your attention to the fact that certain matters discussed on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other provisions of the federal securities laws. These forward-looking statements are based on management’s current expectations and are not guarantees of future performance. Actual results could differ materially from those expressed or implied by these forward-looking statements. The forward-looking statements are made as of the date of this call and except as required by law, Verint assumes no obligation to update or revise them. Investors are cautioned not to place undue reliance on these forward-looking statements. For a more detailed discussion of how these and other risk and uncertainties could cause Verint’s actual results to differ materially from those indicated in these forward-looking statements, please see our Form 10-K for the fiscal year ended January 31, 2010 and other filings we make with the SEC. The financial information discussed today is primarily non-GAAP. A reconciliation of the non-GAAP financial measures to GAAP measures is included in today’s earnings release as well as under the Investor Relations link on our Web site. Non-GAAP financial information should not be considered in isolation or as a substitute for GAAP financial information, but is included because management believes it provides meaningful supplemental information regarding our operating results when assessing our business and is useful to investors for informational and comparative purposes. The non-GAAP financial measures the Company uses have limitations and may differ from those used by other companies. Now, I’d like to turn the call over to Dan. Dan?
Dan Bodner: Thank you Alan, good afternoon everyone and thank you for joining us to review our first quarter performance. In Q1 we achieved $270 million of revenue and $51 million of operating income with 19% operating margins. These operating results drove non-GAAP diluted EPS of $0.66 and $67 million of cash from operations. We are pleased with our Q1 results including our strong margins, earnings and cash flow and are on-track to achieve our annual revenue and EPS guidance. Looking ahead we expect strong sequential revenue increase in Q2 and are targeting another year of double-digit revenue growth on a constant currency basis. We believe that our Actionable Intelligence market is in an early stage. As the volume of structured and unstructured information grows organizations are looking for solutions to help them gain insights from Big Data and turn those insights into Actionable Intelligence. Verint Solutions which are used by more than 10,000 customers enable decision-makers to anticipate, respond and take action and make more informed, effective and timely-decisions. Last year we discussed our strategy to expand our TAM, total addressable market which is now $8 billion by focusing on two Actionable Intelligence growth areas, customer engagement optimization and security intelligence. Today I’d like to report our progress executing this strategy. Also we are excited to discuss a strategy in more detail next week at our Investor Day. The day will include management’s briefings, customer presentations and product demonstrations which will help bring our strategy to life. We hope that you will join us and at the end of the call, Alan will provide more details. I would like to start with the area of customer engagement optimization. During the quarter, we received multiple large orders from existing and new customers that demonstrates how we are becoming strategic to our customers, including approximately $5 million in orders from a financial services customer in connection with their ongoing initiatives to reduce fraud in their customer service operations. Approximately $3 million in order from an insurance customer in connection with their omni-channel customer service transformation program. Approximately $2 million in order from a banking customer in connection with their ongoing customer service optimization program. Approximately $2 million in order from a technology service customer that is implementing multiple modules from our portfolio including our agent’s desktop, knowledge management and case management solutions. And approximately $2 million in order from a transportation customer for multiple modules including quality monitoring, speech analytics and desktop and process analytics. We believe these large orders were driven by our focus on innovation and our expanding portfolio. In Q1 we continued our innovation towards two dimensions; first, we continue to enhance our large portfolio publications to make sure we offer our customers best of rate solutions; and second, we continue to enhance our platform creating strong integrations across our solutions portfolio, as well as integrations with third-party applications. We believe that our ability to offer large variety of best of rate solutions combined with an integrated and open platform differentiates us and provides significant benefits to our customers. Here are some examples of our recent innovations. We added a new application to drive and measure employee performance using gamification. We added a new work allocation optimization designed to ensure tasks are allocated to employees based on their skills, historical performance and priority of the work. We approved visualizations in workflows to increase agent productivity. We added more localization including a Japanese version of our engagement management suite, further expanding our global reach. We more tightly integrated our voice biometrics for real-time identity authentication to better address fraud. We enhanced our next best action capabilities based on insights gained from our speech analytics and we added integrations to our platform to make it easier for our customers and to lower their total cost of ownership. Overall, we have built a broad portfolio which uniquely positions Verint to help organization meet the evolving consumer expectations. We believe that the market for customer engagement optimization is in its early stages, driven by the evolution in consumer behavior mainly in two areas. Today consumers want to communicate through multiple engagement channels of their choice and also consumers expect a quick, contextual and personalized experience. More and more organizations face challenges as they prepare for the evolution in consumer expectations and they seek innovative technology. Verint was early to recognize this industry need and has become a category leader in customer engagement optimization by combining workforce optimization, engagement management and customer analytics. We believe our differentiated approach positions us well to help customers achieve their operational and strategic objective, as well as for continued growth in market leadership. Next week, we expect more than 1,000 participants at our global user conference in Las Vegas many of which have deployed only a small portion of our growing portfolio and are joining us at the event to hear about Verint’s latest innovation and to discuss their needs as they evolve their customer engagement strategies. Turning to security intelligence market, we offer a broad portfolio of security intelligence solutions and continue to see demand for our innovative solutions driven by a variety of security threats around the world. During the quarter, we received a number of large orders including orders for approximately $25 million from an existing customer, orders for more than $10 million from another existing customer and orders for more than $10 million from a new customer. We believe these large orders reflect our broad portfolio of innovative solutions that address both traditional and emerging security threats, such as advanced cyber attacks. As we continue to expand our portfolio we offer customers flexibility to purchase our security intelligence solutions discretely or as part of a more comprehensive security package. Turning to cyber. Next week during Investor Day, we will demonstrate our next-generation threat protection system or TPS. Today, I'd like to preview some key points that will be discussed at the event. First let me explain, which part of the cyber market we're focusing on. Despite significant investment by organizations in cyber security products, advanced cyber attacks continue to cause significant financial, operational and reputational damage. Verint is focused on delivering innovative solutions to better protect organizations against advanced cyber attacks. We believe that the market is seeking new approaches to address some well known gaps with existing cyber security approaches. These gaps include style of detection and investigation tools, too many alerts, making it difficult to identifying response to the right attack and insufficient automation resulting in long time from detection to containment. Verint, threat protection system was specifically designed to leverage Actionable Intelligence to address these gaps, we believe that because advanced cyber attacks are well planned, targeted and stealth, the mitigation approach needs to be based on intelligence tactics, building on many years of experience in security intelligence, the architecture of our threat protection system encompasses three dimensions, comprehensive coverage is the first dimension. TPS provides visibility and protection across multiple attacks to your places, including networks, end-points and payloads. Integrated functionality is the second dimension, TPS includes detection, productization, investigation and prevention all pre-integrated in a single platform. And time is the third dimension. TPS includes both real-time and post attack, detection and forensic capabilities. From a go-to-market perspective, we believe that both government and commercial organizations are subject to advanced cyber attacks and are now seeking an innovative approach to cyber security. In the government market, Verint is already a leading provider of security intelligence solutions with a well known security brand. We are gradually expanding our go-to-market focus to enterprises as well. While Verint has a very strong customer engagement brand presence in the enterprise market, we historically have not focused on enterprise security buyer. Therefore, we will gradually invest to create awareness and ramp up a dedicated enterprise cyber salesforce which overtime will provide Verint an expanded market opportunity. Overall, during Q1 we made progress executing our growth strategy. Our $8 billion TAM is split equally between customer engagement optimizations and security intelligence and we continue to invest in both areas. During Q1 we continued to hire and today we have close to 5,000 professionals with approximately 1,500 in R&D, 1,500 in services and close to 1,000 in sales and marketing, providing a strong foundation for continued growth. Turning to guidance. Due to typical seasonality, our revenue is usually lowest in Q1 and strongest in Q4, with sequential increases throughout the year. We expect the same trend this year, with strong sequential revenue increase of approximately $20 million in Q2. For the year, we are maintaining our prior guidance for revenue and diluted earnings per share. Overall, we believe we're well positioned to expand our market leadership and are targeting another year of double-digit revenue growth on a constant currency basis. And now let me turn the call over to Doug.
Doug Robinson: Yes thanks, Dan. Good afternoon, everyone. Most of our discussion today will focus on non-GAAP financial measures, a reconciliation between our GAAP and non-GAAP financial measures is available as Alan mentioned, in our earnings release and in the IR section of our Web site. Differences between our GAAP and non-GAAP financial measures include adjustments related to acquisitions, including fair value revenue adjustments, amortization of acquisition-related intangibles, certain another acquisition-related expenses, stock-based compensation, as well as certain another non-cash or non-recurring charges. I’ll start my discussion today with the areas of revenue, gross margin and operating margin. In the first quarter we generated 270 million of revenue across our three segments, with 147 million in enterprise intelligence, 92 million in communications intelligence and 31 million in video intelligence. This compares to 269 million of total revenue in the first quarter of the prior year, with 167 million in enterprise, 76 million in communications and 26 million in video. In terms of geography, in Q1 we generated 138 million in the Americas, 82 million in EMEA and 50 million in APAC. This compares to approximately 142 million in the Americas, 76 million in EMEA and 51 million in APAC in the first quarter of the prior year. Given the recent foreign exchange movements we'd also like to discuss our revenue on a constant currency basis to help investors better understand the underlying operational performance of the business. In that regard on a constant currency basis our revenue in Q1 would have been 283 million or approximately 13 million higher, representing 5% year-over-year growth. Q1 gross margins were 65.2% compared to 66.3% in Q1 last year. As we've discussed in the past, due to product and revenue mix within or across segments and particularly within the security business, overall gross margins can fluctuate significantly from quarter-to-quarter. For the full year we expect gross margin similar to last year. During the first quarter we generated operating income of 51.3 million with an operating margin of 19%, slightly higher than the 18.9% in Q1 last year. Our EBITDA for the quarter came in at 57 million or 21% of revenue, slightly higher than 20.8% in Q1 last year. Now let's turn to other income and interest expense. In the first quarter other expense net totaled 5 million, reflecting 5.9 million of interest expense and a 0.9 million gain from foreign exchange, driven primarily by intercompany balance sheet translations. Our cash tax rate was 8.5%. As we’ve discussed previously we expect to enjoy a low cash tax rate for several years due to our NOLs and the amount of income we generate in low tax rate jurisdictions. For the quarter we had 62.4 million average diluted shares outstanding. These results drove diluted earnings per share of $0.66 for Q1. Now turning to the balance sheet. As of April 30, 2015 we had approximately 414 million of cash and short-term investments including restricted cash. Q1 cash flow from operations on a GAAP basis came in very strong at 67 million a 23% increase from Q1 in the prior year primarily due to strong collections. We ended the quarter with net debt of approximately 397 million excluding discounts primarily associated with our convertible debt. Before moving to Q&A I'd like to discuss our guidance for the year ending January 31, 2016. We are maintaining our revenue guidance in a range of 1.2 billion to 1.25 billion. Following typical Q1 seasonality we expect a strong sequential increase in revenue in Q2 to a range of 285 million to 295 million with similar operating margins to Q1. We expect our quarterly interest and other expense excluding the potential impact of foreign exchange to be approximately 6 million. Given the continued volatility in foreign exchange rates, there could be a gain or loss related to the balance sheet translations in our future results which is not included in our guidance. We expect our non-GAAP cash tax rate to be approximately 9% reflecting the amount of taxes we expect to pay this year. Based on these assumptions and assuming approximately 63.1 million average diluted shares outstanding for the year, we expect earnings per share in the range of $3.55 to $3.75 unchanged from our previous guidance. In conclusion, we're pleased with the execution of our strategy, our expanding portfolio of Actionable Intelligence solutions and strong competitive position and we believe we're well positioned for continued growth. This concludes my prepared remarks. So with that, operator can we please open up the lines for questions.
Operator: [Operator Instructions] And your first question comes from the line of Daniel Ives representing FBR Capital Markets, please proceed.
Jim Moore: Great, thanks guys, this is Jim Moore in for Dan Ives. Just a question on the cyber side, looks like you had some nice sized deals. Can you talk a little about what you're anticipating around interest on the enterprise front for the back half, the way you are at the moment in terms of just building out that salesforce?
Dan Bodner: Yes, so we intend to launch the product next week, we are ramping up the salesforce gradually. Our focus is still very much on the government market which is where we have seen strength and we have a large salesforce that is already being trained on the product. We're now launching next week is a next generation threat protection system so the product is also more enhanced in capabilities, but at the same time as we said before, we are going to start to bring the product gradually to the enterprise market. We will leverage our enterprise salesforce and we are launching the product in our enterprise user, Global User Conference, but at the same time we are cognizant to the fact that our salesforce is not focused on the enterprise security buyer but on enterprise customer engagement buyer so we will leverage our customer base. We have more than 80% of the Fortune 500 customers and of course our product is focused on the high-ends of the market. So there is a good overlap between our target, cyber customers and our existing customer base. But in order to sell the product we will leverage a dedicated cyber salesforce of cyber express which we are going to -- which we have started to build and we’ll gradually ramp-up. In terms of expectation, we do expect in the first half to get orders. We already has shown the product, even before it was ready for launch to customers and got a lot of interest. The sales cycle -- we expect the sales cycle to include a pilot and POC it's a high touch sales process, but we do expect some orders this year. At the same time most of our target revenue this year will still be generated from the government -- from the government sector and we hope that we will ramp-up the enterprise sector overtime.
Jim Moore: And then just on the workforce optimization front, are there any other opportunities for M&A out there on that side of things or is there anything else you’d like to add over the next year or two?
Dan Bodner: So we certainly have a strategy of building our portfolio. We already are very differentiated in the fact that we combine workforce optimization, engagement management and customer analytics in a portfolio that really no one else has. So our salesforce has a lot in the bag to sell. When we look at our pipeline of course where we have more to sell, we also see large projects that we hope and expect to close later in the year. So the strategy is to be able to offer more solutions and more based on the pre-integrated platform and of course as we are executing on the strategy we’d like to add more modules into our customer engagement portfolio both through organic innovation and M&A. The market is still fragmented. There are a lot of point solutions and potentially we can make some acquisitions and of course we are making make or buy decisions for every opportunity and sometimes we’ll decide to develop. We have a large R&D organization and sometimes we’ll acquire.
Operator: Your next question comes from the line of Nandan Amladi representing Verint. Please proceed.
Nandan Amladi: That should have been Deutsche Bank, but nevertheless. What drove your earnings speed in this quarter, even though license is hard because they were impacted by FX as you discussed in the script?
Dan Bodner: Yes, so we see Q1 as being our seasonal quarter and we expect our overall to be on-track for the year and on-track for H1. I mentioned before that we expect strong sequential growth in Q2 for revenue of $20 million, but also as Doug mentioned on similar margins. So in terms of strong operating results in Q1 it's about timing and we expect our operating expenses to ramp-up in Q2 and while we have strong revenue increase we’ll be on-track overall for H1 both in terms of revenue and operating results.
Doug Robinson: So, most of it has to do with the expense timing in Q1.
Nandan Amladi: So these are expense that you didn’t incur in the first quarter that may come in second?
Dan Bodner: Yes, exactly we expect to be on-track with revenue and expenses for H1.
Doug Robinson: Yes, we had a good deal in Q1 very strong operating results, but for the year we didn’t raise our earnings guidance it's just a question of timing of the expenses.
Nandan Amladi: And then one question on the product side, in this world of multi-channel or omni-channel customer care, how competitive is your offering compared to your main competitor and specifically on the chat function?
Dan Bodner: Yes, so we have a very large portfolio and we are executing on two strategies impart, one is best of rate so we are investing in making each module in our portfolio very competitive to what are there in the market. But at the same time we see more and more customers buying into the vision that they don’t want to buy a lot of best of rate solutions from different vendors and then integrate those themselves and they find it also very difficult to integrate because those are products from different vendors and they don't lend themselves to integration that easily, while we offer not just best of rate but also a platform that connects a lot of these modules with -- on a pre-integrated basis and also platform that has pre-integration with third-party components like ERP and customer database and self information. So, there is a tremendous benefit for our customers from buying foreign solutions on a pre-integrated basis, based on its platform. And I can certainly discuss, what we do in chat, and how it compares to other chat products and we feel we have a strong chat solution for customer service operation. But I think more importantly is our ability to offer a customer a task to -- an optimization suite that allow them to optimize the customer experience across channel. Because many customers start on a chat and then they decide to send an email and then they call and then they say something on a social media and the real question is what was the customer experience on different channels, if they have a different experience in each channel and if the organization is not aware of the prior experience on the other channel then obviously they cannot optimize the results. So, we believe that the way to optimization is omni-channel that is working together through an integrated platform and also supported by analytics, supported by real Actionable Intelligence about what's really happening in each channel and how to optimize. For example, just a simple example there, organizations typically prefer that their customer goes to self service channels, because that's the least cost. But for certain questions the self service channels worked very well and for others it would be much better to have the live response where you can get the customer satisfied and upsell in other product or surrogate. So the intelligence about the quality of the engagement and how to optimize the engagement across the channels as well as such to personalize and give the customer contextual results is really where we shine, where we differentiate. And one last thought here is I think we're very well differentiated with our omni-channel approach, with the fact that we have a very robust workforce optimization solution because it's very rare to find happy customers of organizations that don't have happy employees. You really need your workforce to be happy and engaged in order to deliver good experiences for your customers and there is a very-very strong correlation between the two, therefore the ability to optimize the workforce to apply customer analytics and to provide a chat and email and social media channels, all-in-one platform is so important. And that's why we hear from customers as well as industry analysts that the customer engagement optimization strategy, resonates with them and that's the way of the future.
Operator: [Operator Instructions] Your next question comes from the line of Michael Nemeroff, representing Credit Suisse. Please proceed.
Michael Nemeroff: Just looking at the seasonality and the enterprise business, it seemed to be a little bit more pronounced this year even after we back out the contribution from KANA in Q1 last year, just wondering and especially in North America, I was just wondering if there was anything significant that we should look into that? And then just a couple of questions on the cyber security products, I'm still just trying to understand how did you find the right people inside your customer base for the data testing and then Dan, based on your comments, it sounds and forgive me if I am misreading this that you are kind of backing off expectations for the enterprise product in this fiscal year, is that just based on feedback from the data customers or you are just trying to manage our expectations down for that new product?
Dan Bodner: Two questions, so let me take the first one. Yes, there is something I think unusual in this seasonality and let me take you through the numbers here, so in Q1 we had revenue of 270 million and as Doug said this is $283 million on a constant currency basis. So, overall we grew about 5% year-over-year on a constant currency basis. However, it is a tough compare to Q1 last year, which was unusually strong and you may remember Michael that we significantly overachieved last Q1 by $15 million. We guided to 255 million based on expectations for typical Q1 seasonality, however we ended achieving 269 million and almost $15 million higher and we believe that this overachievement at the time was probably due to KANA customers waiting for the deal to close and that drove a very unusual level of 15% growth over the same period the year before. So in other words that compares, if Q1 last year had a typical seasonality that we expected at a time of course the numbers we reported today which showed double-digit growth year-over-year. So does compare but not a surprise, it was baked into our expectations as this was a year ago and despite a what is tough compare at the beginning of the year as we said before we’re still targeting double-digit growth this year on a constant currency basis, this is not a surprise. So I think that maybe what you're looking for is in terms of unusual seasonality, it's not so much unusual this Q1 but was unusual last Q1 due to the behavior of KANA customers.
Michael Nemeroff: That's very helpful, thanks Dan.
Dan Bodner: So let me turn now to the next question, related to cyber. So it’s not that difficult to get to do beta testing or pilots with customers at the enterprise. It's clear that the enterprise customers are looking for new approaches. They're making a lot of investments but it's pretty obvious right now that the traditional investment in production are not sufficient and they need to do something about advanced cyber attacks so as a vendor they have credibility on the government side where we get the customers and tell them we want to come in and show them something, typically they are very excited about looking at what we have. I think that where we are setting expectations for this year is the fact that like any new product the product needs to mature which we I'm going to do it over the next few months with several customers. And then as we gain more confidence the product is maturing we will ramp-up the salesforce and build up the revenue stream. So I can’t tell you that we're being conservative because we really need to go through the process like we do with every new offering and make sure that we can deliver on our promises. However I just want to make sure that the audience understands that we're talking about our next-generation product so it's not a product that we developed from scratch. It is based on lot of experience with our Actionable Intelligence platform and it's based on our success with government customers but it's still a pretty significant undertaking that we have with this version and I think the people that hopefully will join us next week in Investor Day as we demonstrate the product, I think you will appreciate that there is tremendous effort going into the product and it is very comprehensive.
Operator: Your next question comes from the line of Saliq Khan representing Imperial Capital, please proceed.
Saliq Khan: First question that we had for you was your comment earlier regarding the -- your focus on cyber security and you anticipate that you are going to go more so in the enterprise market as well. In regards to that what challenges are you envisioning on the enterprise side that you don't see just yet on the government side?
Dan Bodner: Okay, so there are some market challenges and there are specific varying challenges and let me start with the varying challenges just quick I think they are obvious. In the government market we have a salesforce we have a brand and we know how to access that market and we also believe that the government market is much more ready for fighting advanced attacks because clearly government understands that a lot of these attacks are offshore attacks and it's the government's responsibility to protect the government and eventually also to protect the enterprise. So the government market is an obvious target for Verint and also it's an early adopter of advanced solutions we have a very scalable solution so some very large government customers find our solution could scale much better than others. There's a lot of things that work for us in the government market and this is why we started there. Now as we expand into the enterprise market there is first the question of whether enterprise customers are willing to invest in these sophisticate solutions, we see signs that more and more they are. Because the risks to the enterprise are pretty significant with advanced attacks these are not just random attacks. These are attacks by well funded groups that are targeting an enterprise and they plan the attack for many-many months and if they can't go in from one area they'll find another area so they -- it is healthy, it is well funded and it's targeted. So enterprise realized that they are being targeted and they have no choice to invest, but it's not something that they have done before, the investment before was predominantly around primitive protection which is more an infrastructure play, with advanced cyber attacks enterprises needs to get ready to approach the issue differently, they need to have cyber analytics that are working more like intelligence analytics. They have to gather intelligence about the attack it's not just instant response, but the attack can take months and defense requires also data gathering, data recording so they have the perspective, where they talk perspective a lot of analytics, a lot of investigated efforts and the ability to contain and remediate requires an integrated approach. So we see certain enterprise customers that are more ready to adopt the new approaches and others are still investing in infrastructure upgrades which are more effective against perimeter security, but less effective against the advanced attacks. We believe the enterprise market will mature and we are certainly going to target those customers that are on the maturity cycle ready to adopt this type of solution.
Saliq Khan: Your combined focus on the government side as well as the enterprise market side certainly opens the overall TAM that’s out there for you does this put you in a position now to still be on-track to double the cyber security orders during this current fiscal year this is something that you alluded to last quarter?
Dan Bodner: I think what we alluded to and we still maintain the same message is that we expect to double our revenue from cyber. We also said that many of our security solutions are being bundled and bought as a comprehensive package. So it's not that simple to say this is a cyber order or this is situational awareness order and so forth. But we do believe that what we identify as predominantly driven by cyber security reasons is going to double this year, but still will be less than $100 million and as I mentioned before still would be predominantly government and with little contribution from enterprise.
Saliq Khan: The third question that I had for you is someone had asked a similar question earlier regarding the fact that the product and solution that you have for workforce optimization, how does it differentiate versus your competitors? My question is a little bit different which is, what are you doing now to essentially create the competitive mode for yourself five quarters, six quarters down the road that maybe your competitors are not looking at?
Dan Bodner: Yes that’s actually very good because we are investing quite a bit in preparing the market to adopt this vision. We refer to this as a new category, workforce optimization is actually -- if you go back six, seven years ago we created workforce optimization after we combined with Witness. We had recording Witness had workforce management and we said it's time for the market to buy them together and we created workforce optimization of course now it's an industry term, it's a category and people are on this wagon. We believe that the same way it's now the time to move up from workforce optimization to customer engagement optimization and the main reason is not because we say so, but it's because the consumers are not expecting the same thing from organizations. We talked about omni-channel, are consumer expectation and as well as they want more personalized and contextual service. So this consumer what we do now is we do a lot of customer briefing and explain to them our vision about what is changing with the consumers and how it's going to affect them. We get very strong feedback from customers that they agree and they like that vision. And our job is really to convert that agreement to business. So convert that to new bank buying patterns where they buy those modules together from a single vendor rather than buying them discreetly from different vendors the way they did before.
Saliq Khan: This is a last question I had for you which is really building upon your comments of my most recent question which is, within that workforce optimization as you're talking about the move over to the customer engagement side of things, but what are you seeing, which segment with the workforce optimization are you finding other than the adoption rate is so fast or the conversations you're having around payables so fast as between the back office and financial trading portion of it?
Dan Bodner: So where we see the most reception to this is in the B2C part of the market, the business to consumers those are large organizations such as financial services, insurance and telecom where they need to more quickly adapt to consumer expectations because they need to differentiate from their competitors based on strong personalized and contextual customer service. So clearly the B2C market is adopting our messages faster.
Operator: There are no further questions.
Alan Roden: Thank you, operator. Before ending the call, I'd like to provide a few details for our Investor Day next week. Our Investor Day is taking place on Tuesday in Las Vegas at the Paris Hotel, the same location as our Global User Conference. The event will start at 10:30 in the morning and should end around 05:00. If you haven't registered yet and you still like to come, please go to our Web site on the Investor Relations portion. We're very excited about this event and we look forward to seeing you all there next week. Have a great night. Take care.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.